Dennis Weber: Yes. Thank you and good afternoon, ladies and gentlemen, and welcome to the presentation of our results for the First Quarter of 2021. With me on the call today are our CEO, Carsten Spohr; and our new CFO, Remco Steenbergen. Carsten Spohr will start the presentation with a review of quarterly results. He’ll also give you an overview of our strategic priorities for the next year. He’ll be followed by Remco Steenbergen, who will further detail our results and present some of our key initiatives to restore the strength of our balance sheet. We’ll conclude today’s call with two Q&A sessions. Similar to prior quarters, the first Q&A session will be for all financial analysts and held in English language. Afterwards, we'll hold an additional Q&A session for the press in German language. Carsten, over to you.
Carsten Spohr: Yeah, thank you, Dennis, and warm welcome to all of you around the world wherever you are, in your home offices, maybe some on the beach. Thanks for joining this call today from our headquarter here in Frankfurt. And, obviously, gentlemen, that now one-year after the beginning of the pandemic, our global air travel industry in the situation, obviously still remains extremely challenging. Nevertheless, and we tried to explain that today, we do look to the future with quite some confidence and optimism. So, let me start with three messages concerning our first quarter. First, yes, to be honest, the start of the year was not what we had hoped for at least last year. However, we did achieve a slightly better result than last year's first quarter when only the month of March was actually heavily impacted by the pandemic. And that I think is worth to note considering that our turnover went down from 6.4 to 2.6 compared to last year. So, it's obvious that significant cost savings helped us to reduce the operating loss. The negative adjusted EBIT of €1.1 billion is obviously still an alarming number. But then it is 6% better than last year. And more important that proves that our cost discipline and the restructuring efforts are indeed paying off. Second, we can already see that the crisis has indeed allowed us to accelerate our modernization and our transformation. We at Lufthansa, have never been faster in restructuring, in right sizing the business, in bringing down costs variable and fixed costs in modernizing our fleet, and in digitalizing our company. And this unprecedented crisis forces us to overcome our known weaknesses, and it will make us stronger for the future. Third, thing it's getting more obvious day by day that the returns are better times is on the horizon. The vaccination campaigns around the world, but especially in our most important markets in North Atlantic and Europe and Asia are showing progress in many countries. And again, including our home markets. And the first European states are actually already lifting several restrictions, and these developments will pick up speed within the next weeks for sure. And this gives us confidence that the worst is indeed behind us, and the turnaround for global air travel will be very soon, as we have already seen it in some parts of the world like China and the U.S. We expect the recovery of demand to gain momentum in the second half of 2021. Because we all know this, people want to travel and whenever it's possible, whenever and wherever travel restrictions are eased, and travel is safe, they book and they fly. And given current developments down the road for the summer ahead, we have good reasons to be optimistic. Vaccinations for everyone in Europe, are expected by June. And we appeal to the EU to swiftly launch the green path. The European health certificates for vaccinated and negatively tested people. And we are very encouraged by comments of the EU Commission, signaling willingness to grant unrestricted access to vaccinated travelers from the U.S., as we just heard this week. The Lufthansa Group is prepared obviously for several scenarios, and even on short notice we're able to manage a significant increase of travel demand as it recovers. We are prepared to increase operations to up to 70% this summer. And for the whole year, we now anticipate an annual average capacity of around 40% compared to pre-crisis levels.  Ladies and gentlemen the Q1 results also show that we could reduce our fixed costs even more than expected with our comprehensive renew program and previously unimaginable re-dimensioning of our company. Group revenues, as just mentioned in the beginning, decreased by an enormous 60% in the first quarter to only €2.6 billion. Nevertheless, the group's adjusted EBIT amounted to negative €1.1 billion, which as mentioned before, is 6% better compared to previous year's level. So, let me guide you through the performance of our business in some more detail. Revenues at the Group Airlines declined by around 80%. In the first quarter of 2021, we operated just 21% of pre-crisis capacity. In our long haul business, the contribution from cargo insured the positive cash contribution at slightly higher capacity levels. However, this came at the expense of passenger load factors, which amounted to just 45% at the Network Airlines overall. In short haul alone, and also Eurowings, they were in the mid-50s. Successful [yield protection] and significant cost savings once more limited operating losses. The adjusted EBIT loss at the Network Airlines amounted to minus €1.3 billion. Eurowings reduced its operating loss to minus €144 billion. That reflects the progress made in the execution of Eurowings turnaround plan, which we presented to you in mid-2019. Since then, overhead cost of Eurowings were reduced by more than a third. And the operations in Germany are now pulled in just AOC following the discontinuation of flight operations at Germanwings and the liquidation of SunExpress Germany. And all non-seasonal external wet leases have on top of being discontinued. Again, we see how strategically important our Eurowings business is, leisure [and VFR] picks up first and recovers faster, compared to the business. Hence, the start of Eurowings discovered this year will also come timely. However, besides the fact that we have a huge and growing share leisure and VFR passengers on board of our network airlines, as well, we don't share the pessimism of some regarding the future prospects for business travel.  We certainly believe in the future of this important segment, especially after talking to our corporate customers in Germany in our home markets. And basically the smaller the companies, the more they will be requiring to have corporate travel also in the future, and Remco will come to that later in his part in more detail. The result of Aviation Services highlight two major trends. First, the air freight industry continues to be decoupled from the passenger airline business based on the ongoing shortage of capacity in the balance of passenger aircraft. This is why yields have been continuously increasing again after a short dip at the very beginning of the year.  And overall, there remained a similarly high level compared to the fourth quarter last year, and adjusted EBIT reached a new record level for Lufthansa Cargo €314 million in the first quarter. And we expect this trend to continue for at least the rest of 2021 because it's not only the shortage of capacity, but also the strong demand of the globalized economy, especially in our home market, which makes us very optimistic. Operating one of the largest and the most modern cargo freighter fleets in the world keeps indeed paying off. And we currently analyze to expand the business with regard to the utilization of even more currently unemployed aircraft from the passenger business to be used for cargo shipping. Second, the performance of MRO and Catering highlights the differences in the industry trends between Europe on the one hand and North America and Asia on the other. The progress made in fighting the pandemic coupled with a much larger size of domestic markets with federal restrictions have largely fallen away, allowing airlines in particular in the U.S. and China to fly much more than their European counterparts so far. This obviously will change in the next weeks, with Europe opening up. For our MRO and Catering business though, we started to take advantage of this. Thanks to the large exposure to non-European markets in those two business segments. MRO returned to a profit of €16 million in the first quarter supported by significant cost savings and lower receivable write-downs, compared to the prior year. Losses in the Catering business were limited to €10 million based on a deep restructuring, including the reduction of the workforce in its ex-European business by more than a third. The European business, which had still caused an operating loss of €36 million in Q1 last year, if you know was sold in December. In our last call, ladies and gentlemen, I already emphasized, we’ll not only get through this crisis, but our current transformation will further strengthen our global role. We have sharpened our corporate strategy, and are consistently aligning our actions to three main objectives. First, the successful implementation of our renewed trends formation program to create value for shareholders, as quickly as possible again, and the re-dimensioning of our operations provides the base for eventually scaling up operations. In the future, we will initially operate with only around 650 aircraft, instead of the 800 we entered the crisis with. And these aircrafts, more modern aircrafts, younger aircrafts by average will be used more productively. We will capitalize on the strength of our brands in our home markets. We will offer maximum connectivity with our tried and tested hub system, which will benefit from lower volumes over all in Europe in general. And we will connect people and economies based on our trusted partnerships we have across the industry. In addition, we are committed to capturing market opportunities. We are adapting our offer to exploit the potential in leisure and we have our trouble. And we are taking advantage of our strength in structural growth markets like especially Asia Pacific. Our second objective is to enhance customer simplicity. In the future, we are committed to focus even more on individual needs of our customers, and especially continuously improve our communication with them in a digitalized fashion. In the end, we aim to offer our customers the best overall package as sustainable as possible and with seamless transitions across the whole travel chain. Digitalization obviously is vital for achieving superior customer experience. This is why we continue to further push digitalization of the group for our customers, but also to drive revenue quality and operational efficiency. And we are indeed optimizing our ways of working with streamlining our processes and the portfolio as you know, supported by a strong foundation of performance focus across the whole organization. We are focusing more than ever, on the sustainability of our actions. And this brings me to my third objective live up even faster to our responsibility for more sustainability in aviation. With every step we take, we want to contribute to climate, environmental protection, not because we have to, but because we act full of conviction. We want to be a leader in our industry in this issue as well for the global society, for us, for our customers, and for all of our stakeholders. Our goal is to cut our CO2 emissions in half by 2030. By 2050, our goal is to operate completely carbon neutral and sustainable aviation fuels bring the essential element to both. Ladies and gentlemen the Lufthansa Group has already become more focused, efficient and more sustainable. Through more digitalization expanded synergies across the group, and more efficient structures, we are convinced to make our airline group better and stronger. And obviously financial stability will be key to our long-term success. Therefore Remco will share more details on the various and different drivers for restoring to a healthy balance sheet, and also he will elaborate further on our Q1 results. So Remco, stage is yours. Thank you.
Remco Steenbergen: Thank you, Carsten and good morning to everyone. Let me start by summarizing our first quarter results. Group revenues decreased 60%, compared to the first quarter of 2020, in which the crisis only started to have an effect at the end of the quarter. The operating expense decline of 51% demonstrates the extent of cost measures taken since then. As a result, we’re able to limit the operating loss compared to the prior year quarter. Adjusted EBIT amounted to minus €1.2 billion in the first quarter of 2021. The net loss amounted to slightly more than minus €1 billion that is less than half of the prior level, reflecting the non-recurrence of aircraft and goodwill impairments, as well as a few over Matching losses in the first three months of 2020. Carsten already discussed the results of the different segments. The better than expected performance in our Aviation Service businesses, especially Lufthansa cargo and MRO meant that the average monthly operating cash drain was €235 million in the first quarter, excluding €75 million of support measures. The letter, were mostly related to wage subsidies under the U.S. CARES Act, primarily as LSG. Adjusted free cash flow amounted to negative €947 million. Customer refund payments of almost €400 million were upset by net new bookings in a similar amount. So that's a liability from inflowing documents remained virtually unchanged since December 2020. Additional €133 million of deferred tax payments were balanced outflows of a similar amount related to the reversal of short-term liquidity measures taken in spring last year. Gross CapEx was €153 million in the first quarter, including the effects from a further reduction of spare parts at Lufthansa Technik and aircraft disposals, the net investing cash outflow amounted to just €87 million. At €10.6 billion available liquidity continued to be well above the €10 billion mark, also at the end of the first quarter. At the end of March, the group had drawn down €2.5 billion of government stabilization message. €5.4 billion remain unused. This includes silent participation one, which will draw down flexible, if and when needed until the end of this year. Capital markets financing measures included the issuance of a 1.6 billion bonds in February at coupons of 2.875% and 3.75% for the trenches of four-year and seven-year maturities, respectively. In addition, we raised [€750 million] with aircraft financing, primarily JOLCOs and the issuance of a short China line. Debt repayments amounted to €1.9 billion and included the €1 billion KFW loan, which was repaid in full after the bond issuance in February. This transaction also secured to the refinancing of the remaining €1.7 billion of liabilities maturing by the end of this year. Net financial debt rose to €10.9 billion at the end of March. Pension provisions, however, declined by around €1.7 billion to €7.8 billion. This reflects the market wide increase of interest rates, which lifted the rate using for the discounting of pension obligations by 60 basis points to 1.4%. However, this rate is significantly lower than the average return of 4.1% we earned on planned assets in the past five years. The pension plan will be fully funded at a discount rate of 3.2%. Ladies and gentlemen, liquidity protection continues to be at the forefront of our financial management as long as we are in this crisis. [If our] focus goes further, we must restore the strength of our balance sheet as quickly as possible. Financial stability is the prerequisite for long-term success. Only with a strong balance sheet we'll be able to defend and expand our market position and create value for all our stakeholders. Let me go through the three main drivers, which are key to repairing our balance sheet. First and foremost, we must return to profitability as early as external and market conditions allow. The recent news flow on the quickly rising availability of vaccine makes us even more confident that we are nearing the end of the pandemic. However, you will have another very – few very challenging months ahead of us, where incidence rates will remain high and borders closed. So to ramp up of capacity will only be gradual. Over summer, however, leisure and VFR driven short haul travel should allow for the capacity increases. Once we are coming closer to herd immunity in Continental Europe, we expect the regulatory confidence to increase so that's the first intercontinental markets will start to open up in Autumn. Based on these trends accelerating over the course of next year, we expect to operate more than 70% of our pre-crisis capacity in 2022 and more than 80% in 2023. By 2024, we should be back to at least between 90% and 95% of pre-crisis levels. By customer segment, we forecast recovery to be driven by travel to meet friends and family as well as touristic demands, especially in the retiree age group. Bookings will likely continue to be very short-term however, based on ongoing uncertainties. Corporate travel is forecasted to only start recovering towards the end of the year. Small and mid-sized companies should travel earlier and more frequently than larger corporates where internal restrictions are expected to stay on for longer. Factoring in the behavioral changes caused by the increasing use of digital communications, we expect corporate travel to be back to 80% of pre-crisis levels in 2024 and two at least 90% in 2025. The corporate segment contributes to 45% of our airline revenues. So, it's of key importance. We are committed to remain the first choice for our corporate travel customers based on the connectivity we're offering and the quality of our service, which we will continue to upgrade and individualize based on a constant flow of innovations. So, while we're confident that our long-term market position in this segment is extremely strong, we need to respond to the expected slower pace of its recovery, and we do. First, we aim at ensuring maximum flexibility when it comes to adapting our offer. The aircraft retirements we announced, primarily the decommissioning of our A380 and A340 600 fleets, and the phase out of the Airbus 744 were reduced to share of first and business class seats in our long haul fleet by one-third. The variability of airline configurations will allow even further adaptions if necessary. The number of business class seats in an Airbus 350, for example, can be reduced from 48 to 36, an exchange for more premium economy or economy class seats. Premium economy has been introduced in all network airlines in the past few years. Its contribution per square meter is 39% higher than that of a business class seat. Second, we will exploit the different speeds of recovery in the corporate travel segments. For example, we expect video conferencing and sustainability considerations to primarily affect the short-haul trips, which are less profitable for us. Customer surveys also indicate that there is significant pent up demand in the German Mittelstand which is a key customer group for us. Finally, North American routes, on which the share of corporate travelers is disproportionately high, should benefit from the faster recovery in the U.S. Based on our Transatlantic joint ventures with United and Air Canada, and the large importance of the high yielding U.P. point of sales for us, we expect significant financial benefits from the fast recovery of business struggle in the U.S. We just gained traction on domestic routes already. Finally, the further expansion of direct distribution, which we expect to grow to 75% of bookings by 2024 will enable us to further roll-out continuous pricing to drive ancillary revenues, and to offer bundled services based on individual differences in demand. Of course, continuous cost reductions will also and have to contribute to the mitigation of these changes in the passenger mix. In the past 12 months of the crisis, we reduced fixed cash cost by 35%. Personnel expenses, which accounts for more than two-thirds of fixed cost declined by 36% or €3 billion to €5.3 billion. Wage subsidies under short-term work contributed to €1.3 billion to the decline with another €600 million resulting from wage reductions governed by short-term work and the various crisis agreements we concluded with all relevant unions. Considering the expiry of short-term work at the end of 2021, we will negotiate to turn these temporary savings into long-term cost reductions. However, already today the 3 billion decline in personnel costs includes €1.2 billion related to permanent headcount reductions implemented since the start of the crisis, including an effect of €350 million from the divestiture of the European operations of LSG. Overall, the group's workforce has shrunk by 24,000 full-time equivalents in the past 12 months. Of these 24,000, around 6,500 were part of LSG Europe, another 10,000 full time equivalents were employed in the rest of the world businesses of LSG. The group airlines recorded a reduction of 4,400 FTEs, primarily on natural fluctuations in combination with a hiring freeze and voluntary leave offers. An additional 3000 full-time equivalents were reduced in remaining group businesses. The bulk of the reduction was achieved outside of Germany, even taking around 3,500 full time equivalents in North America into consideration, which will be built up once again the business picks up. We’ll operate with around 12,500 less FTEs going forward. This is an even larger decline than we had originally planned. In Germany, were around [8,000 have left], we continue to have a personnel surplus of around 10,000 full time equivalents. We aim to address this personnel surplus in Germany in the rest of 2021 and in 2022. It remains our preference to do so in mutual agreements with our social partners, so that the burdens are distributed fairly and more jobs can be saved by reducing costs instead of people. In this spirit, we will be negotiating new agreements with Vereinigung Cockpit and Verdi. They will replace the existing agreements, which rule out forced dismissals in both workgroups until the end of the first quarter of 2022. In this context, we are proposing the implementation of innovative par-time models, which allow keeping as many colleagues as possible on boards in the short-term, while providing maximum flexibility to grow the business again in the long-term. In parallel, however, we are preparing for forced dismissals. We expect the necessary legal process to be completed by the end of this year so that dismissals will be possible once the current union agreements expire. In this case, forced dismissals would add to the contributions made by voluntary measures agreed upon with employee representatives and our unions. Supported by these deep restructuring measures, we target to return to pre-crisis profitability levels as quickly as possible. This will be key to achieve a more sustainable leverage ratio and to support the return to investment grade rating. The second pillar in strengthening the balance sheet is the repayment of the stabilization measures and replacing these funds with long-term debt and equity measures. We're thankful for the support provided, the timely repayment will underpin the group's operational and strategic flexibility. At the annual general meeting next Tuesday, we'll ask our shareholders to give us authorization for this flexible execution of capital increase. Based on the new authorization for a period of five years, we will have the required flexibility to conduct a capital increase as and when the markets are receptive for such measures. Once granted by the AGM, the authorization limits execution risk as we were able to act quickly to support market windows without having to go through a lengthy process of obtaining shareholder approval on a case by case basis, thereby creating value for both the company and its shareholders. A capital increase will be a key step towards replacing the stabilization measures in Germany and returning to a fully private to shareholder base. At this stage, we haven't made a decision regarding the actual execution of a capital increase. Nonetheless, we intend to be ready to act once shareholders have approved the resolutions and markets are supportive. In addition to improving profits, ability and potential financing measures, the divestments of non-core assets will contribute to restore a healthy balance sheet. Today, we reconfirm that we are exploring strategic options regarding AirPlus, our travel payments company, as well as the rest of world business of LSG, our catering company. While no formal decision has been made, we target the divestiture of both assets once we are able to realize their full value. AirPlus is one of the leading international providers of solutions for daily business travel payments. With a strong international footprint, it facilitates 92 million transactions and generated 337 million of revenues in 2019. Based on the currently still ongoing transformation of [indiscernible] platform, and a successful restructuring. AirPlus will be well-positioned to benefit from the recovery of business struggles and to push into new areas of growth. The rest of the world business has historically been the most profitable part of LSG generating €109 million of adjusted EBIT in 2019, the European part of the business was sold in 2020. Let me finish my presentation with our outlook for the rest of the year. Compared to our outlook in early March, market-wide expectations for the recovery of our industry had been pushed out by few months based on high incidence rates, preventing governments around the world from opening up their countries again. At this stage, air traveling is restricted on 83% of global routes, in our home region Europe the share is even higher. As a result, we revised our capacity expectations too. We're only expecting a gradual increase in the second quarter now to about 30% to 35% of pre-crisis capacity at the end of June. Based on the continuous ramp up in the second half year, capacity should amount to take a 60% of pre-crisis level at year-end. However, with long haul still being down significantly, and load factors being lower, compared to initial expectations. Nonetheless, we are encouraged by the extent of customer demand coming through wherever travel restrictions are lifted. When the Spanish island of Majorca was taken off the list of risk regions by the German Robert Koch Institute, for example, bookings shut up within minutes despite the addition of new flights by Lufthansa, and especially Eurowings, available seats were filled very, very quickly.  In total bookings to Majorca increased by up to 80% in the two weeks before Easter. Except for the capacity outlook, our expectations for 2021 remain unchanged. Adjusted EBIT will improve against 2020 levels, compared to our original forecast in March. The effect from reduced capacity expansions has been largely compensated by a more optimistic outlook for Lufthansa Cargo. We expect profits to increase now, even compared to the record levels of 2020. In the second quarter, we expect the operating cash drain to amount to around €200 million per month, a further improvement compared to Q1 levels, driven by the gradual expansion of our flight schedules, the further increase of structural costs savings, and ongoing strong performance at Lufthansa Cargo. Finally, we expect capital expenditures to amount to €1.3 billion, unchanged to previous expectations. Our negotiations with aircraft manufacturers are making good progress. So, we're confident that we will be able to update shortly on our plans to continue modernization our fleet while maintaining a very strict investments discipline. But first, let us answer your questions on today's set of results.
Operator: [Operator Instructions] And the first question comes from the line of Ruxandra Haradau-Doser of Kepler Cheuvreux. Please go ahead.
Ruxandra Haradau-Doser: Good morning. Thank you for taking my questions and congratulations on the cost management in Q1. I have three more general questions please. First, the probability of the green party being part of the next German government has significantly increased. Based on the manifesto of the green party and your discussions, what risks and opportunities would you see if this was to happen? Second, also related to the environmental topic, support for railway services has increased with all the parties, so to which extent do you see the opportunity to integrate your business with railway providers going forward? You have the advantage relative to your peers to have the main hub with a great direct connectivity to the high speed network. This is different for other hubs. So, could this drive a change in the structure of your network going forward? And third, SWISS and Austrian are great brands, with relative small originating markets relying strongly on transit traffic from Germany in the past, based on the future structure of the group what will be the main benefits for SWISS and Austrian of being part of the Lufthansa Group post-COVID? Thank you very much.
Carsten Spohr: Yeah, good morning to you. On the question regarding the green party, I think if you look at those states in Germany, where the green party is in power, and one of the most important German states is even run by a green Mayor, sorry, Governor, Baden-Württemberg, the home of the car industry, you see that once they are in power, they very much shift their policies towards supporting the economy. And those specific topics they have in terms of aviation, it's much more targeted against the low cost carriers that is targeted against us connecting the global economy with Germany. And you see the ideas of the greens in Austria, which might be copied into Germany, minimum prices of €30. I think that's more what we'll see in assuming the green party is part of the government in the future, also on the federal level. Yeah, in-line with that, as you rightly said, when it comes to intermodality, we have been going a long way in this for many decades. We actually used to own trains, believe it or not, you were too young for that, in the 1980s and 1990s, which we operated in Germany. Obviously we don't go back to that. But we have a very close cooperation with Deutsche Bahn, which we just extended. There’s now 17 cities, we are connecting to our network mainly in Frankfurt, as you rightly point out. And we are doing similar things in Austria and Switzerland. The question you're asking in terms of Frankfurt versus the other hubs, it's a good point. What you see in this crisis, that train collectivity really helps on low passenger numbers. But when it comes to our second half in Germany, Munich, let's not forget that Bavarian government supports that airport, and there will be one way or another part of the future government. So, they will ensure that the connectivity of Munich airport by flights is safeguarded, and therefore, I think we’re not going to see significant shifts in this regard. Also, because the distances to Munich a little bit longer than they are to Frankfurt, there is just less likelihood of transferring things mandatorily to train. Maybe for those of you who have been following the decision of this French government, which helped make good headlines about stopping domestic flights, if that same ruling would have been adapted to Germany, which means no domestic flights unless they are connecting passengers on board, and unless it takes more than two and a half hours to replace that flight by train, only one domestic rule in Germany would have been stopped, which is this [indiscernible]. So it shows you there's a lot of room to maintain the system as we have it in Frankfurt and Munich, even with latest rulings on environmental decisions. But again, we support putting our flights on trains because we save money feed, which is much cheaper by airplane, but trains when possible. Yeah, then now the last question, Zurich and Vienna. I think Zurich it's very obviously it's one of the richest, maybe the richest city in Europe. We actually don't need that much transfer traffic to be profitable in Zurich at all, it’s because very high yields, and a lot of international business coming out of that original market in its own. Vienna, it's a little different there. Surely there's touristic business outside in from the top key touristic destinations in Europe. And also historically, Austria and Vienna are the gateway into Eastern Europe. And the thing the growth perspectives for Eastern Europe are quite good in the next few years and Vienna will come back to play a role there. Thank you.
Ruxandra Haradau-Doser: Great. Thank you very much. Thanks.
Operator: The next question is from the line of Jarrod Castle of UBS. Please go ahead.
Jarrod Castle: Thank you. And good morning, gentlemen. Three as well. You gave some useful color on the capacity ramp up in 2021. What level of capacity do you think you need to get to, to be cash flow breakeven? That's the first one. And second, you know, kind of speaking about more positivity about recovery, but, you know, we're obviously in vaccination passports and travel corridors. But what are the chances of the testing costs disappearing? I guess what I'm asking is, you know, in a post-COVID world, are we still going to see testing costs? And what will the impact be on your view in terms of customer headwind? And then, you know, you, kind of mentioned you're looking for a supportive market when it comes to, you know, the 5.5 billion, when you kind of use the term supporter is that in terms of a certain share price, or rather the ability to access the market for financing? Thanks.
Remco Steenbergen: Thank you. Thank you for the question. Remco here. With regard to the cash flow positive from an operating perspective, if we look at 2022, we expect an escape or 50% or above 50%, for 2022 to bring the operating cash flow in a breakeven situation. If you think about the second half of 2021, it might need to be a little bit higher because of the seat load factors. We're also still working on working capital. And we have to see how that all balance out with one of the one-time effect going negative. But equally, if the bookings are picking up, we get again, some upfront cash flow coming in. But I think the key number to keep in mind is 50% for 2022. With regards to our question to the AGM, for issuance of new share capital, as we mentioned, first, I think that the 5.5 billion is technical by nature because it's the sum of the [SP1 and SP2]. The actual increase will be lower than that. And it's really dependent on what we see the need to be at the moment we decide to issue that. In terms of market circumstances, of course, the debt to market circumstances is that we have a good line of sight for the future, but in combination, of course, in a market where investors see that clearly happening, and that there is broad support for such a capital increase.
Carsten Spohr: Yeah. This is Carsten on your second question about testing costs. I'm aware that there's a specific situation in the UK, but for almost all other markets, surely our home market testing is for free, and the costs are taken up by the government. I think in the future, this will even be less an issue because more and more governments are coming out with the statement that vaccination can replace testing. And obviously there is no such thing as vaccination costs for even if there is only one time and also that in most countries is free. So, I think again, being aware of the public debate you have on this in the UK, I think it's much less an issue in the EU and surely not in our whole market. As long as testing is required in some dimensions as we see today it's paid by the government. In the future vaccination will replace and if there ever would be testing costs, surely they would need to be taken by the passengers, not by the airlines.
Jarrod Castle: Thanks. I guess if the passengers are taking the testing cost it makes the journey more expensive and, you know, elasticity start to play in, but…
Carsten Spohr: I think it's more problem of the UK that is for the rest of the world. In the U.S., the testing is free. In Europe, it's free. Germany, Austria, Switzerland is basically free and again, soon people will be vaccinated rather than tested and can enjoy the same freedom.
Jarrod Castle: Okay, thanks very much.
Operator: The next question is from the line of Stephen Furlong of Davy Research. Please go ahead.
Stephen Furlong: Good morning. Thanks for the presentation. Very, very interesting and helpful. I have three for me. Maybe you could just elaborate a bit on the corporate market except you told your customers, is it certain segments that are kind of more bullish about recovery? You mentioned the middle of stance or come industrial, I don't know, supplier businesses, all those just interested in to kind of detail in that because it's obviously important 45% of the revenues. Secondly, I’m just wondering about MRO was held up quite well, relatively well, and I was, you know, there was talk about in the past that, you know, in terms of disposal there, divestments that maybe a minority stake or an ideal parcel is locked out the technique was a possible option down the road, maybe is that still a possible option? And then just finally, I'm just wondering, with all the restrictions that happen, obviously, this depends on demand recovery post-COVID, but your partner in the U.S. United talks about the – having margin expansion by 2023. Just wondering whether, you know, pre-COVID margins is a goal or even above that, given the cost takeout? Thank you.
Carsten Spohr: Yeah, thank you. When I mentioned that, our sales team obviously talks to our corporate customers, and I knew that more positive than maybe I was a few months ago is based on the idea and the logic, especially for Lufthansa. Many of our corporate customers are not just the global blue chip companies, of course they as well, but it's small-medium enterprises which as you know, are backbone of the German economy. They don't have the global infrastructure to live without corporate travel. And they don't even have sometimes people on the ground in markets in Asia or in the U.S. So people need to go there themselves. So, I think these entrepreneurs, small and medium companies, who will need that positive experience of corporate travel to see their customers, the Visa suppliers are making up a bigger share of our corporate customers, and people think, that's the part I’m quite optimistic for. Nevertheless, you know, we are planning with less corporate travel almost 10% to 20%, and we'll see how that in the end will play out, nothing is not going to be as extreme as some people thought. And we all know the limits of video conferencing, I think by now as well.  MRO, we as everyone pointed out, we are looking at LSG rest of the world and AirPlus in the first place. And in terms of order of events, all options are on the table for MRO. We believe there’s potential also up side for the business to have a partner on board. And as always, there will be no fire sales in any of our assets and surely not in the pearl of the Lufthansa portfolio, which is Lufthansa Technik. United saying that there shall be higher margins after COVID than before. We agree on everything with United and especially on that one, margins have been too low in our industry because of over capacities, because of too many players in the industry, because of lack of consolidation. I think all these things, the crisis will play mid-term in a positive way. Airlines will disappear. Weak airlines will become weaker, strong airlines will become stronger. And hopefully margins come back to at least pre-crisis margins, because we need that for investments also into new airplanes in terms of the environment. So, I think once this crisis is behind us, we'll look at a more healthy industry.
Remco Steenbergen: Perhaps – Remco here to add. You asked a question on the MRO performance in Q1. Two things to keep in mind, one is that the MRO is a global business. So, besides Europe, it's also linked to be able to, of course, the North America situation in the Asia and we see that. We see that faster picking up and that is truly helping. The second is, of course, our VIP business in the MRO business. We see also an uptake in those activities.
Stephen Furlong: Very clear. Thank you. Thanks, guys.
Operator: The next question is from a line of Jane James Hollins of BNP Paribas. Please go ahead.
James Hollins: Good morning. A few for me, please, just on the summer outlook. I mean, you've talked about the good recovery, but the – very clear implication is you're not expecting capacity above 50% because you're not going to get to cash, operating cash breakeven. Just wondering if you can give us an insight clearly or closer to this than the most on what you're hearing from regulators, whether it's in Europe, or indeed the U.S. on really the potential for, you know, this digital green certificate to be open and ready and up and running and usable and all that business by early summer, and maybe, you know the way that plays out for you.  Secondly, I didn't see mention of 650 aircraft still being the plan, I was just wondering if that was the case? It looks like you've tweeted up your 2024 capacity from [90% to 90% to 95%]. And then finally, a question I'd seem to have asked since you know since I was at school, I think but the Euro Alitalia has reared its head again and just talk about euro Air France KLM doing some sort of agreement. Just checking once again, there's no plan to make a financial investment there. Thank you.
Carsten Spohr: Thank you very much. I think there's a miss understanding of the summer outlook. We actually said, or I said in my speech, we are ready to go up to 70%, if the demand is there. That's how we have taken the aircraft out of deep storage or ready to take them out. This is how we have trained pilots and flight attendants, mechanics back to standard. So, we could go up to 70%. And of course, that will be cash positive, if it happens. Yes, we don't know. Anything above 50% and we [indiscernible] other thing before will help us. And we just think that the case for the whole year will rather be in close to 40, then close to 50. So maybe that was misunderstandable before. The green pass, obviously, is the fastest thing ever coming out of Brussels, I think. In record time they pushed it through the various levels of government, including the parliament just Monday morning. And I think there's a huge political will to reopen Europe, not only for economic reasons, but also for political reasons, because that's what Europe is all about. Even if that doesn't mean that the green pass is around in June as planned, there will be local solutions, like I think just the UK mentioned yesterday that they will use the NHS pass for the UK, there is an element of this in Germany and other countries and then airlines and travelers have to cope with the fact that they need maybe one or two passes to travel. So, not as great as one, but in the end traveler will be available. And that I think is great, but of course one pass will be better than numerous, but in the end travel will be back to not in terms of volumes, but in terms of being able to travel to pre-COVID times. And then in terms of aircraft, we stick to our plan to operate 650 plus minus aircraft in 2023, 2024, eventually reported want to have renewed growth. But these aircraft indeed will be used more efficiently. There are younger aircraft with less maintenance down time. There will be different seatings as Remco pointed out less premium seats. Therefore more passengers on board, higher ASKs by those same aircraft harmonization of fleets will allow us to use them more efficiently. So, we believe that even though the number of aircraft is about 20% down, we will be able to operate up to only 10% less capacity with 20% less aircraft. We have already retired 115 aircraft last year, a lot of smaller aircraft debris, which we took out include all the way up to [dash]. So, I think in the end, it's a more complex math behind this, but we stick to our guidance here.
James Hollins : So yeah, [indiscernible] Alitalia, just on the first point. And that's kind of exactly my point as that you're talking out the summer, you're talking out BGC, British Green Certificate, local certificates. And yet you’ve removed that guidance of cash positive. Are you just being unbelievably cautious? Should we actually be thinking about demanding a much higher than your estimating, just want to square off the two different, sort of trajectories of your sentiment?
Carsten Spohr: Well, I think what we have done is with the whole ramp up being somewhat delayed is that we don't believe necessarily that there will be more than 50% of capacity in the third quarter. As a base case, we are ready to bring them up to 70 on a more positive side. So maybe that's misunderstanding which occurred. And as we already did, when we only offered 10% of capacity, we only fly when there is a cash contribution. Alitalia, the situation for us has not changed. It is and remains our most important foreign market after the U.S. As I said numerous times, we are number one in Italy in terms of intercontinental traffic and will be for sure after COVID. and if there is a way to cooperate, we will cooperate with them. If there's a need for investments, we will not because that's not in our plan. Funny enough while you ask the question, Alitalia 320 landed behind me, so they are still flying.
James Hollins: Beautiful. Okay. Thanks a lot.
Operator: The next question is from the line of Neil Glynn of Crédit Suisse. Please go ahead.
Neil Glynn: Good morning, everybody. If I could ask three please? The first one, that 5.5 billion authorization, obviously a big number relative to your market cap, it raised a few eyebrows accordingly. But I'm just interested in, if we were to have a go at estimating potential proceeds from AirPlus, LSG and maybe half of Lufthansa Technik or 49% of it. It seems definitely possible to match the level of your net debt increase seen since the end of 2019. So, I'm just interested, is there any scenario where you think you could potentially even avoid raising equity or certainly raise a considerably lower level than that? So, interested in your thoughts on that? The second one and I guess that's probably for Remco, but the second one also for Remco, on the direct distribution side, you've obviously been pursuing this strategy since 2015, and I've always found it quite difficult to deduce the benefits of that from the P&L from an outsider's perspective, of course, but as the new CFO coming into the business, analyzing the business case for this strategy, I'd love to understand how you go about getting comfortable with what taking the 50% to 70% actually does to the P&L and cash flow, if this is to become a bigger theme for the investment case? And then the third question, maybe more for Carsten, your competitors clearly have a higher proportion of premium leisure, pre the pandemic, certainly in 2019. Just interested, do you think from a premium economy perspective was there an underserved element across your network in 2019 or how does premium economy expand to absorb corporate traffic decline, even if that is only 10% to 20% over the medium-term?
Remco Steenbergen : Now, let me – Neil, good morning to you, Remco here. Let me first start by saying that equity is a very scarce of course, level of resource and we have to be extremely careful in the amount of equity we raised because that causes dilution, and it's the most scarce, of course, funding we can we can generate. So, we very carefully look at the amount, as I said before the 5.5 billion is a technical number as being the sum of [SP1 and 2]. And with that also to not give guidance, what the actual amount is with actually that that agenda item on the AGM.  As I said before, we expect the capital raise to be lower than the 5.5 billion, but I cannot comment much more what it is that really depends on the circumstances, but I can say rest assured, we will do that, as low as possible, of course. In terms of the proceeds from some parts of our organization like the LSG and the AirPlus and the Technik not being decided upon, but in the evaluation phase, you have to split it in a proceeds elements, of course, and that helps on the debt side very clearly, which allow us of course, go faster back to investment grade. But there's also an element of equity related to that, correct. So the proceeds are not equal to the equity amounts that of course to be deducted from the book value, I cannot disclose that. But that is of course the equation that we look at them as well in the equity, but I don't see a scenario at this point in time where no equity race would be needed and equity would be needed with the magnitude to be determined. The question on the direct distribution, of course, the whole digitalization and the change of customers to book and the flexibility they have, we believe strongly and also when I look at the business case, the yields on this that they can be better. That is what I also see and that is the whole underlying plan and our commercial teams of course, clearly focused on this. The digitalization also allows with much more fluent way of pricing, which also gives us much more flexibility and optimizing our revenue and profitability.
Carsten Spohr: Neil, hello, Carsten. Thanks for the question on, we weren't quite sure if it was more about premium economy or premium financial traffic in general so I will just answer both. Premium economy, as Remco pointed out has been a great success, higher margin per square meter or square feet than business class or economy class or first class. And we're now rolling it out across the group fleet, and as you probably know, even Swiss we're now not even. Also Swiss will not have that on board. And we see a lot more upgrades from economy to premium economy than we actually saw downgrades from business to a premium economy, which of course we want to avoid. More a question focused on premium leisure. There I think the answer is that a device in Switzerland is a blueprint of where we believe we can copy with Eurowings discovered in Germany. There is a demanding – there’s a growing demand for premium leisure traffic, also due to demography and people getting older and having more money and better help to do take these trips, and therefore Eurowings discovered again, will be the German copycat of Edelweiss, which we have successfully now operated in Zurich. I hope that answered your question either way.
Neil Glynn: It does and I guess people tend to, kind of group the two together, which I except may not may not be correct. But Eurowings obviously is only focused on short haul now, right? So how does that help from a premium economy long-haul perspective?
Carsten Spohr: No. We were operating already 11 Eurowings long range aircraft before COVID. They're all grounded now with exception of one. And we go back to Eurowings long range, as of the end of this summer. We call it Eurowings Discover, separately managed from Eurowings fully integrated to our hub models, commercial models, including the one which Remco just pointed out. We start with three aircraft in the fall, late summer, and bring it up to seven. Not quite the fleet we had before, but the significantly larger than a device in Switzerland. And we believe there's a strong business in that for the future, focusing on indeed premium on the leisure side.
Neil Glynn: Okay. Thank you, both.
Operator: The next question is from the line of Jamie Rowbotham of Deutsche Bank. Please go ahead.
Jamie Rowbotham: Good morning, gentlemen, and thanks for the presentation. Two questions from me, both for Remco. The first one, Remco, the deferral of import sales taxes at Lufthansa Technik and other tax payments across the group supported the operating cash flow last year by some €900 million, but those deferrals you're expecting to reverse and resulting outflows of about 450 million, I think in each of 2021 and 2022, yet, and I'm sure you know what's coming here, but Slide 10, I think highlights a further 133 million benefit from I think further tax deferrals at Technik. So, could you just update us on the likely dynamics there of the stuff that you've deferred and continue to defer? And then the second one, I'm afraid also is around capital structure, but really just focusing on the next quarter, if you can. So, obviously, after a 950 million free cash outflow in Q1, I think it's more like a billion if we include cash interest payments, it looks like Lufthansa could suffer a similar outflow in 2Q, do you think you'll allow the gross cash balance to deplete again, as you largely did in Q1 or will you try to plug the gap? And if it's the latter, strikes me you have three options really draw on the undrawn silent participation, or issue new debt or raise new equity under the authority that you'll look to get approved next week? How are you thinking about that specific decision, if you can share anything? Thank you. 
Remco Steenbergen : Thank you. Good questions. Indeed, if you think about the tax benefits in the MRO business from a cash perspective, they are to be reversed. We knew that up front as before that 50% issue, 50% in 2022, it might also be that a little bit more will come in this year. But we have equally to see that there will be offsetting effects, right. We expect the liability from the inflowing tickets to increase when the bookings come up. And the upfront booking will come in that is a significant inflow, correct, which comes in and helps to offset. Secondly, there is, there of course work, I believe further work to be done by better managing our spare parts, better managing our receivable positions, also our trade payables positions can be better managed, and it remains my target to find ways of offsetting this outflow with our inflows in the course of this year. And that also means that if you think about the second quarter and your second question, yes, we expect the cash outflow to be less also because of bookings picking up in June and that should that should help us. With regard to how to further finance in the course of this year, I can't be concrete. We clearly have the 4.5 billion of SP1 available and we will draw upon that as and when needed. We will of course also look in the course of the year on as equity raised relevant or not. Can we do that, does it make sense? We will look further on the financing side. You have seen that in Q2 [indiscernible] came in we have done aircraft financing, we will continue further of aircraft financing we will consider bonds and depending on this we – and the timing as well accordingly we might draw on the SP1 in the course of the year. But I can’t be more specific because it really depends on the individual circumstances going forward in the coming quarters.
Jamie Rowbotham: Fair enough. That's great. Thanks Remco.
Operator: The next question is from the line of Andrew Lobbenberg of HSBC. Please go ahead.
Andrew Lobbenberg: Good morning, guys. Can I ask firstly about what your expectations are for the pickup of long-haul? I think everyone's getting quite excited about the North Atlantic, but then you spoke about other long-haul markets, I think coming back later in the year. So, what's your expectation on the timing of the reopening of the North Atlantic? And, you know, the long-haul markets? Second question would be on labor. What has changed since you last spoke to us at the full-year results? Have we had, you know, what would have changed with regard to the prospects of negotiations with the Union for avoiding the forced dismissal? And then a third question would just come back to cargo? Clearly, you know great performance now that you seem very confident that the high level of unit revenues will be sustained through the year. But I mean, how will that balance, given that we will get some long-haul machines coming back into the sky in the second half?
Carsten Spohr: Yeah, Andrew, good morning to you. On long-haul, well, as you know, at least for us, the North Atlantic is half of our long-haul seat, the rest of the world, the other half. So, if the [trends leading] [indiscernible]. I think others will be slightly behind in Asia yesterday, maybe, U.S. also see that in the UK, our chancellor met, virtually, of course, with the governments of China, managed to put on their top items, the opening of travel between U.S. and China, and they agreed that they will have joint acceptance of certifications for [indiscernible]. So, I think, also that very important market will come back and mainly in Lufthansa, unnoticed, we have been very successful operators continue to fly to Latin America and Africa. Maybe you saw this morning that Brussels Airlines even came off cash positive in the first quarter. That's all because of Africa. So, again, when it comes to the mentioning of long-haul, obviously, U.S. and China thrive the whole thing. And I mentioned the delay in China, but eventually opening up there, but the rest of the world has been somewhat be operating at least for us.  Labor not much to be added to what we explained before. We had a little chart in Remco’s presentation, if you saw today, because we realized that this comes up every time and I always have difficult times to claim the German model. The German government supports short-term work to allow for negotiations with the workers council to eventually be ready for dismissals if needed. And that in our case will happen after the first quarter 2022. But there's always room for negotiations to avoid unvoluntary layoffs, if it is more reasonable for the company to do so. And we are offering volunteer programs for our ground staff as we are planning to offer another program for our flight crews in Germany in the cabin. Pilots again, that legal preparation is being done while we speak and we wouldn't be ready if we don't come to an agreement to have dismissals here again, after the contract runs out in Q1 of 2022. Cargo, why are we so upbeat on cargo. There's obviously a huge fleet harmonization and optimization happening globally, tying the last MD11s in September. So, the cost structure will come down further. And we do believe that this positive situation will continue because even if there's more passenger aircraft coming into the air, which there will be, also I think the global economy will pick-up further and there will be the demand as stable or maybe even picking up further over compensating or in-line with the expansion of capacity. Pharmaceuticals are very strong, and will continue to be strong if you think about what we are flying around the world lately. Also on vaccinations, which is just picking up because now the first world is starting to hand out both vaccinations to the second and third world. So, overall I think the outlook is not just based on the lack of capacity, which has been driving things so much in which we continue first to certain degree, but also for the other parameters in cargo. We never know in Cargo, right, it is the most monetized business element as we have, but we are as you can tell, pretty optimistic.
Andrew Lobbenberg: Okay, thank you.
Operator: The next question is from the line of Daniel Roeska of Bernstein Research. Please go ahead.
Daniel Roeska: Good morning, gentlemen. Three if I may as well. First, as you are considering the restart of the network airlines, will long and short-haul capacity be in lockstep or do you need to grow short-haul capacity a little bit faster than long-haul to ensure the connectivity in the network? And about how much is that difference? And again, focusing on the network airlines short-haul flights, when do you expect to reach pre-crisis unit costs in your planning, provided the labor restructuring is successful next year? And what cost reduction would you need to target to, kind of compensate the mix shift between leisure and business over the next couple of years on the short-haul networks? And then lastly, could you remind us of the details of the UFO agreement, which I think lasts until 2023? And whether the 10,000 FTE you mentioned in the presentation today to be reduced or renegotiated in Germany? Does that include cabin crew from UFO or do you need to kind of look at the 10,000 number just through the staff numbers in Verdi and FTSE? Thanks.
Carsten Spohr: Roeska, good morning to you. Well, we are in a situation that our short-haul is indeed picking up faster than long-haul, but not only to ensure minimum connectivity for the long-haul, but also the demand comes faster in short haul. So, we don't need to ramp up faster just to build up the app system, but also it's underpinned by the demand, which runs a little bit ahead on short-haul. So that fits in very nicely to be honest, that by the time this long-haul demand is there, the short-haul network will be back in place to provide the connectivity we need. And of course, it's an art in itself, how we ramp up the various hubs, the five we have, and that has been worked on, but what I just said is true for all five. On your second question, obviously, our target reduction of CASK versus precis levels is in-line to be or supposed to be in line [23, 24]. Even though the capacity is lower, we believe our cost restructuring will get us there. And as I said, with margins to be on pre-crisis levels, we obviously expect our CASK to be somewhat lower as the [rest] comes down from less premium share. But we are quite positive, if you just look at the fleet alone, how that will drive unit cost that that cost reduction will be in place in time. UFO, Remco is a new expert on German labor relations, Remco?
Remco Steenbergen: Okay, I think you clearly have to see the reduction where we really hope that in the course of this year, we can come to good agreements with unions to realize these reductions are actually an equivalent in cost, and therefore don't have to go to force the dismissals, right. That is I think the baseline to be to be set. To force dismissals would include all worker group, so including the cabin, of course the timing will be then a point of discussion. What we've been doing, and I think you have seen that in the cost savings so far and also comment a bit on your second question, correct. Because of the crisis starting the company has become smaller. So, we have been not hiring new people and with that, you saw quite a reduction coming in and also the cost savings of more than a billion there. I think when Carsten mentioned the topic of the whole fleet renewal, you have to think about lower depreciation, lower MRO, lower time the fleet is on the ground so can be can be used much more etcetera, etcetera. That brings cost savings in. And then we have also another fixed cost category, which you saw coming down by one-third, and also a large part that we want to keep. So, if you would add that up right, you would come already to quite substantial amounts. That is not enough because the 1.9 billion benefit we still have from all the courts abide and the crisis agreements, a substantial part of that we also want to – we want to realize you and you can also link that to the equivalent of the 10,000 FTEs in Germany. An exact amount at this point and the year we cannot give, we have to see in the course of the year how that all ends up and we have also better visibility for [2023, 2024], which clearly we are targeting a lower CASK in the [2023, 2024] timeframe.
Carsten Spohr: Let's go on, from my experience and we have hit quite as before as you know, in some of them, you were part of our team in ground and [Kevin], the voluntary programs we have and the natural attrition will bring it down to what we, including, of course, a [hiring freeze]. In cockpit, it's a different thing. Nobody leaves a pilot job in Lufthansa because there's no better pilot job in the world. So, there we either – they move closer together and they all go into this famous innovative part time schemes where there's a mandatory part time, or the number we have calculated will need to be forced to leave, of course, they know that. And that's why I still believe there will be constructive dialogue, once they have elected their new leadership. In the end, the cost for us will be the same. Either people have to leave on voluntarily, or we keep them on board, and they all work less for less money. So, I think for us, in the commercial paying of the company, basically at a slideshow, which Remco sure did have an impact. It truly has an impact on the individual. And therefore I think there will be some movement in the Union for us, in terms of our cost base it doesn't matter.
Daniel Roeska: Right. So, the 10,000 include, kind of the entire staff body, and your comments regarding the CASK also are valid for short-haul?
Carsten Spohr: Oh, absolutely. As you know, we have been bringing actually CASK down on short-haul faster than on long-haul the last years. Now the next five years, it will swing around, because with modern fleet investments now the cost on long-haul will come down faster than on short-haul, but the answer to your question is yes.
Daniel Roeska: Perfect. Thanks very much.
Carsten Spohr: And the seat capacity, labor agreements, we have done quite a bit on short-haul. As you know, depending on the fuel price, sometimes short-haul is more profitable for us than long haul, which is the last 20 years has never been the same case, but in the years before COVID it was. You left too early.
Daniel Roeska: Great, thanks.
Operator: The next question is from the line of Carolina Dores of Morgan Stanley. Please go ahead. 
Carolina Dores: Hi, good morning, everyone. Thanks for taking the questions. I have two, I guess in the slide that you showed the IFRS equity at 2 billion, is there any issue or equity going to negative would have three – would mean you have to do a capital increase? And if so, what is the timeline for you to do that? And my second question is, can you give us a bit of detail on AirPlus in terms of either book value or profits? Thank you.
Carsten Spohr: So, we don't have a great connection with you. The first one I think we understood about negative potential negative equity. And for that the second one, we didn't get. Please repeat that question.
Remco Steenbergen : I think the [book value of AirPlus].
Carsten Spohr: Yeah.
Remco Steenbergen : I think the book value of AirPlus was the question. Okay. Let me take both question. We cannot comment on the book value both of LSG and AirPlus correct. So, you have to do it with what is publicly communicated in the annual report. I'm really sorry about that. That would not be – that wouldn't be the right thing to do. On the IFRS, equity question, you saw that we were held in Q1 with a pension discount rate going up again, because the inflation expectations globally came in and then the discount rates went from – went to above 100 basis points that helped us with about 1.7 billion. And that is the fresh consolidated equity.  So, you saw we ended up on 2 billion. Yeah, we expect still an operating loss in Q2, and a lower one in Q3 and Q4. And then of course, it's the question what will the pension discount rate do, but even in a situation where the concentrated equity would become a negative for the group IFRS purposes, this would not be an issue, because there is no legal requirement linked to it. But it of course, undescribed the logic of why we asked for the – in the AGM for the capital C because over time, we need to restore that.  For a legal perspective, the equity of Deutsche Lufthansa AG, sort of the holding accounts is essential. And the equity at the end of December 2020 was 7.6 billion, correct. So, higher than the group consolidated equity and that is the key number to take in mind. And of course, with 7.6 billion we do not expect an issue as we see it currently now from any legal perspective. So that will not put pressure in any way on timing of an equity and equity raise. It's purely linked to the market circumstance etcetera.
Carolina Dores: Okay, thank you.
Operator: The next question is from a line of Muneeba Kayani of Bank of America. Please go ahead. 
Muneeba Kayani: Good morning. My first question is about booking inflows. I think you mentioned there were around 400 million in the first quarter. Is it possible to get some color on how that was during January, February, March? And kind of where the booking window is now? You had mentioned it's quite short. And then secondly, on fuel overhead, was there any impact on that in the in the first quarter? And then thirdly, if U.S. Europe travel opens by year-end, how would you think about capacity ramping up in 2022 on that route?
Remco Steenbergen: Let me, Remco here, let me take the fuel overarching. There is no any material impact on the fuel overarching any more in the results? I think it's a few million. So, there since were good. I [indiscernible] to be to reminded that we started hedging for not for this year, but for 2022 and 2023. We communicated last time we spoke and the hedging we have reduced from 85% to 65% based on a relook on our commercial position as well on the network, but for this year we don't expect any material impact from hedging. The comment I made during my speech on the 400 million of the booking inflows, you have to see a separate from what is currently going in the market. When people are currently booking their flights, they do it on a really, really short-term. And therefore, the whole prepayment topic is not much irrelevant, correct. And of course, when travel comes back, correct, and routes are starting to open again, we expect that people will go and book much more heads again and hence as well as we benefit from that from a cash perspective. So, the 400 million and say this led provision for the in-flow in flight tickets is not linked to the bookings. The bookings are simply done very late, because of the situation with regulators. 
Carsten Spohr : On your third question, first of all, you said, less opening up end of the year. We surely expect it to open up in the summer, not the end of the year. And then you asked what 2022 flexibility is key on flexibility in general. And also, on the North Atlantic. I mentioned a number of 70% [indiscernible] this summer. So it's obvious we can easily do that next year if needed. But if more is needed, we’ll bring it up to more. By 2022, basically, all the capacity could be back of the year if needed. So, I'm not worried about our ramp up ability. We're looking at the demand side, and then we'll see what it takes. Even the deep storage aircraft only takes a few weeks to be brought into service. So in that time frame you are asking. We are indeed completely flexible.
Muneeba Kayani: Thank you.
Operator: The next question is from the line of Johannes Braun of Stifel Europe. Please go ahead.
Johannes Braun: Yes, thank you for taking my questions. First one is on CapEx. I think CapEx was very low in Q1. I think you said 150 million or so cross CapEx and obviously 90 million net CapEx, but for the full-year you still expect the 1.3 billion cross CapEx. So how do we have to think about the spacing of the cross CapEx and the rest of the year? And also, how much do we have the model in terms of net CapEx as you sell more spare parts? Secondly, I think you mentioned that Cargo yields have shown a dip at the start of the year, but then returns to strength. Why do you think that Cargo yield dip has happened to the start of the year? Maybe it relates to the timing of Chinese New Year, but I'm just double checking here. And then lastly, I'm not sure whether I followed your logic regarding the recovery of corporate travel. I think you said, you expect a stronger recovery in long-haul corporate demand versus short-haul corporate demand, but if corporates want to save on travel costs, why wouldn't they cut, especially the long-haul travel, which is obviously more expensive and do more through meetings instead of traveling long-haul? Thank you.
Remco Steenbergen: Thank you for this question. Let me first take the CapEx. Indeed around [260 million] gross in the first quarter, for the full year 1.3 billion gross, that relates to 12 aircraft deliveries, mainly the Airbus 320 NEO I think that's 11 out of the 12, and an Airbus 220. Indeed, the net CapEx we expect to be below that level, same as you saw in the first quarter. I think what is important and also the opportunity for the years to come, that we apply very strict CapEx regime, in a sense, while still making sure that we can renew our fleet in the right way.  We’ve communicated last time, they expect the topics level to be around the level of the depreciation amortization, that is still a level we target and you know that the depreciation number and amortization number last year was about 2.5 billion. So, you can draw your conclusion from that. We of course do that in a combination of straight CapEx, our JOLCOs, we will still use and also operating losers will be part of this, this mix. And included in that as well in that 2.5 billion also that is straight booked in the financing cash flow in the P&L. In terms of the cargo yields, of course, the vacation regime plays a different role, but is to be said that, and you can see that from these roles, that the yields are very good still in the first quarter and we expect in the coming quarters as the SK levels capacity levels are low to continue and again to be said, the fleet of cargo with all the Airbus 777s and now in place in the course of the year, we expect that we are with our customer base and with an efficient fleet being very good and very competitive and we’re very happy with our Cargo business.
Carsten Spohr: And I think as you rightly said, we – the way Christmas and Chinese New Year played in obviously was a little dip we saw there. But to your last question, when we talked to our corporate customers in Europe and in our home markets, it's one thing to replace the short European trip to have one lunch meeting, one interview, or one speech at a conference. We do believe there will be a higher share of replacement of such business trips than long range intercontinental trips, which usually don't have one-single occasion. So, when we fly to China, we don't do that for one lunch or for one speech or for one interview. Usually it's a variety of meetings bundled together and that we don't believe will be replaced as easily. So, yes, indeed there could be a higher share of replacement, short range [indiscernible] long range corporate travel.
Johannes Braun: Okay, thank you. Can it just come back to the first one on CapEx? Can you be a bit more specific on the net CapEx level for this year? I think you said, similar level as Q1, but not sure if I understood that correctly.
Remco Steenbergen: We will have – you have to look at the gross CapEx and the delta between gross and net CapEx. And I think at this point in time, I assume that delta will continue roughly throughout the rest of the year, but the gross CapEx will indeed go up as I said with the procurement of the 12 planes in the course of this year.
Johannes Braun: Alright, understood. Thank you.
Operator: Ladies and gentlemen, we will now move on to the press Q&A session after a short 30-second break. Ladies and gentlemen at this time we will begin the Q&A session for the press call. [Operator Instructions]  [Foreign Language]  And the first question is from a line of [Yun Schreiber]. Please go ahead.
Unidentified Analyst: [Foreign Language]
Carsten Spohr: [Foreign Language]
Unidentified Analyst: [Foreign Language]
Carsten Spohr: [Foreign Language]
Unidentified Analyst: Thank you.
Operator: [Foreign Language] The next question is from the line of [Jared Hagman] of [indiscernible]. Please go ahead.
Unidentified Analyst: [Foreign Language]
Carsten Spohr: [Foreign Language]
Unidentified Analyst: [Foreign Language]
Operator: [Foreign Language] The next question is from a line of [indiscernible] of Thomson Reuters. Please go ahead. 
Unidentified Analyst: [Foreign Language]
Remco Steenbergen: If you are okay, I will answer your first question in English? The AGM where we ask approval for the capital increase is clearly important for us and we count on the shareholders to actually approve that. From all the proxy holders, we understand that are in favor so we expect a positive vote on this. I think that's number one to be said. That means that that we are then, we have the approval to do so. Of course subject to Supervisory Board approval here internally. And then we have to decide what the right timing could be. It could be this year and it could be next year. We have to leave that open depending as I said, the market circumstances and also how the outlook will develop over the coming months and quarters.
Carsten Spohr: [Foreign Language]
Operator: [Foreign Language] The next question is from the line of [indiscernible]. Please go ahead.
Unidentified Analyst: [Foreign Language]
Carsten Spohr : [Foreign Language]
Operator: [Foreign Language] And the next question is from the line of [indiscernible]. Please go ahead.
Unidentified Analyst: [Foreign Language]
Carsten Spohr: [Foreign Language]
Operator: [Foreign Language] And the next question is from the line of [indiscernible]. Please go ahead. Your line is open. Please go ahead with your question. [Foreign Language]
Unidentified Analyst: [Foreign Language]
Carsten Spohr: [Foreign Language]
Operator: [Foreign Language] [Operator Instructions] [Foreign Language]